Operator: Hello, and thank you for standing by. Welcome to Rush Enterprises, Inc. Reports Fourth Quarter 2023 Earnings Results. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Rusty Rush, President, CEO, and Chairman of the Board. Sir, you may begin.
Rusty Rush: Well, good morning, and welcome to our fourth quarter and year-end 2023 earnings release call. On the call are Mike McRoberts, Chief Operating Officer; Steve Keller, Chief Financial Officer; Jay Hazelwood, Vice President and Controller; and Michael Goldstone, Senior Vice President, General Counsel and Corporate Secretary. Now, Steve will say a few words regarding forward-looking statements.
Steven Keller: Certain statements we will make today are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Because these statements include risks and uncertainties, our actual results may differ materially from those expressed or implied by such forward-looking statements. Important factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements include, but are not limited to those discussed in our annual report on Form 10-K for the year-ended December 31, 2022, and in our other filings with the Securities and Exchange Commission.
Rusty Rush: As indicated in our news release, we achieved annual revenues of $7.9 billion, and net income of $347 million or $4.15 per diluted share. In the fourth quarter, we achieved revenues of $2 billion, and net income of $78 million or $0.95 per diluted share. In addition, we are pleased to declare a cash dividend of $0.17 per common share. Throughout 2023, there was pent-up demand for new commercial vehicles due to limited production over the past few years. With respect to new Class 8 trucks, that pent-up demand was largely fulfilled by the end of 2023. With respect to the Class 4-7 commercial vehicles, demand remained solid. The manufacturers we represent were able to increase production throughout the year, which led us to significantly – I believe, this is significantly outpacing the industry with respect to new Class 4-7 commercial vehicle sales. Despite a challenging operating environment in 2023 caused by low freight rates and high interest rates, which led to great general softness in parts and service sales industry-wide, we were able to achieve a healthy growth in the aftermarket revenues. The growth was due primarily to our ability to support large fleets and strong demand from the diverse range of market segments we support, including our refuse, public sector, wholesale and energy customers. In addition, our aftermarket revenues also increased due to the addition of 215 service technicians to our network. Expanding our service technician workforce is a key aspect in a certain of our strategic initiatives. Overall, we are very proud of both our operational and financial performance in 2023. In the aftermarket, our annual parts, service and body shop revenues were $2.6 billion, up 8% over 2022 aftermarket results. And our annual absorption rate was 135.3%. As I previously mentioned, we added 215 service technicians to our network last year, which enhanced our ability to execute on certain of our strategic initiatives, including Xpress services, contract maintenance, and mobile service offerings. We also experienced healthy part sales growth from our energy, refuse and leasing customers. Looking ahead, we expect the challenging freight conditions and high interest rates will continue to impact our customers and that aftermarket demand in the first half of 2024 will be similar to the second half of 2023. However, we are cautiously optimistic that the current freight recession may begin to ease in the summer. In addition, we believe that our diverse customer base, our ability to support large national fleets, and our ongoing focus on our strategic aftermarket initiatives will allow us to outpace the aftermarket industry and to achieve flat to modest aftermarket growth in 2024. Turning to truck sales. We sold 17,457 new Class 8 trucks in 2023, accounting for 6.2% of the total U.S. Class 8 market and 2% of the Class 8 market in Canada. As previously stated, we experienced healthy demand from a variety of market segments. However, the pent-up demand from the Class 8 market has been satisfied. ACT Research forecast Class 8 retail sales to be 214,300 units in 2024, down roughly 22% from 2023. Though, the industry is expecting new Class 8 truck sales to be down significantly in 2024 due to challenging economic and industry conditions. We are confident that we will be able to navigate a down year and outpace the industry in 2024 due to our strategic decisions we made in prior years to diversify our customer base and focus on vocational customers. Our Class 4-7 new truck sales reached 13,624 units in 2023, or 5.1% of the U.S. market and 2.9% of the Canadian market. In addition to pent-up demand due to limited new medium-duty commercial vehicle production over the last few years, the manufacturers that we represent were able to increase production throughout the year. Those factors along with our ongoing efforts to diversify our customer base and support large national accounts allowed us to significantly outperform the industry in 2023. We are still experiencing delays from truck body companies, and these delays impacted deliveries during the fourth quarter, which limited our growth somewhat. ACT Research forecast Class 4-7 retail sales to be 254,250 units in 2024, up slightly from 2023. As we look ahead, we expect they will continue to see improvements in the medium-duty commercial vehicle production for the manufacturers we represent, and we expect customer demand to remain strong. In both of these things occur, we believe our Class 4-7 commercial vehicle sales will remain strong in 2024. Our used truck sales reached 7,117 units in 2023, relatively flat compared to 2022. Through the high interest rates and soft freight rates, demand for used trucks was weak, and used truck values declined throughout 2023. In 2024, we expect that demand for used trucks will remain flat, but the rate at which used trucks are depreciating will continue to decrease, and the used truck values will stabilize somewhat over the course of the year. We are confident our diverse product mix and ability to move inventory throughout our network will help us to continue to effectively navigate the used truck market in 2024. Looking ahead, we expect demand for Class 8 trucks to be soft, while demand for Class 4-7 commercial vehicles remains healthy. It should be noted that delays from body companies may continue to impact deliveries of new Class 4-7 commercial vehicles. We will continue to monitor freight rates, interest rates, consumer spending, and other economic factors that impact both commercial vehicle sales and aftermarket demand in our industry. Despite challenging market conditions, we are confident that the strategic decisions we’ve made in the past several years to diversify our customer base on supporting large national accounts and to add technicians to our workforce has well-positioned to perform in 2024. As always, it is important that I take a moment to thank our employees for their incredible work during 2023 and providing world-class service to our customers, while staying focused on our company’s long-term goals. With that, I’ll take your question.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Justin Long with Stephens. Your line is open.
Justin Long: Thanks, and good morning.
Rusty Rush: Good morning, Justin.
Justin Long: Good morning, Rusty. So, I guess to start with the parts and service business. You’ve talked about the divergence in the trends between national accounts and the smaller customers. I’m curious how those two buckets performed in the fourth quarter and just your general level of confidence on a net basis that the parts and service business is bottomed.
Rusty Rush: Well, I’m pretty confident like I said in my notes, we expect to remain at least as good as where we are. I didn’t want to push up. I think there’s room for growth of parts and service in 2024. As I said, if it works, we would just be pacing along where we were in the second half of the year in 2023. When you look at, if you take – as I was loved it, it was taken into parts and pieces, right? At the end of the day, you look at the small accounts, right? We talked about this before, well, that’s for 6 months, last couple of calls. The fact that for the year they were down almost 12%. Now, quarter-wise, I don’t have that in front of me, but I know it started only off about 8% to 6% – it was 7% to 8% in Q1 and ramped up throughout the year. So I’ve got to believe that Q4 was probably down somewhere the 13% or 14% range. And when we call those are unassigned accounts. But what you don’t realize that sometimes those accounts still make up 32% of our business. So you look at what we did, and you talk about being down like that, really continuing to decline over the year, you got to feel good about where you’re at. Like I’ve said before, maybe our margins where I hear softer, because some of the shift, what were the business we are doing over the more national accounts, which obviously, demand a better pricing along with this, whether national accounts, right? So we were able to make up that’s 32% [a third] [ph] of our business was down, probably like I said, I don’t have that in fourth quarter, right, in front of me, but it was pushing 12% for the year. And I know it can decline more as the year, also I got to believe it’s in the 14% to 15% range in the Q4, right? So, you got to feel good about where we’re at, the focus that we’ve had, and it’s not just over-the-road customers, right? When I talk about the diversity of our customer base, I’m very proud of what we’ve done by putting a focus individually on each of these sectors, assigning people at the highest corporate level through the mid-level to assign, we have over 300-plus outside parts and service sales people. And while they focus on some of their local mid-sized accounts, we have really put the push on to the national accounts. And when you do that, you have to form relationships at both the high end of a corporation, all the way down to the street level on the individual areas that they have terminals or they have shops or whatever they have, whatever business they’re in across the network. So, with that, that allowed us to achieve an 8% growth rate with it being that 12% [a third] [ph] of your business. So you can see, you can extrapolate, well, what that meant to the company, right? That’s why it was a little softer, because the other side accounts or your small accounts, and their little higher margin accounts, right? But we were able to overcome them with – I’d like to say over a couple of third of your business being off 12% by the focus that we had. So we don’t see that changing. So when the small guy does come back, you got to feel really good about what you can, where you’re going to be, when that does, and when it pivots back the other direction which you’ve got to believe, we’ve been in a freight recession for 1.5 years, 2 years almost it seems like while the country has been doing decently well, the freight market is huge, all you got to do is read all the reports. It’s been under a lot of stress here this last year.
Justin Long: That’s helpful. And the national accounts do you have a number on how much they were up for the full year just to compare that to what you’re seeing with the unassigned accounts?
Rusty Rush: Yeah, they were up in the high-teens around 20, somewhere between 18 and 20. Again, I don’t have the total number, which the stores were talking about. But they were up somewhere in that and I can really break it into so many different segments, too. Because we still got a lot of mid-sized customers, too. National accounts, well, the largest growing thing we have going on. We still have a lot of mid-sized customers. We forget about them, they’re a piece of it also. So you’ve got roughly, what 32% in the small and you’ve got about 28%, we’ve got national accounts, okay, of our business. So the other 40% is really that middle bucket, which is the largest bucket we touch, right? So that diversity of customers is really what’s allowed us to navigate what has been a rough, rough time for a lot of our customer bases. And that focus on vocational, right? When I talk about refuse being up, and I talk about oil and gas being up, and our wholesale business still being up, and municipal being up, all these other areas are up. Okay. And regardless of whether their national accounts or mid-level accounts, we break it into a lot of different buckets. But those are the areas that have allowed us to overcome with 32% of your customers or up 12% and still post on a positive year.
Justin Long: Got it. And I was wondering, too, if you could share anything on expectations for the first quarter, maybe truck sales, parts and service, and Steve, I know typically you see an uptick in G&A? So maybe some thoughts there as well.
Rusty Rush: Yeah. Well, first quarter is always G&A goes up. We didn’t put it in the releases here. We put it for the last 25 years, but nothing’s changed, right? All the equity comp and taxes and all that ramp back up and get expensed out in the first quarter. And that is natural for our business. You can go back and model it every year. So we definitely expect that from a truck sales perspective. We are going to start declining. Okay. There’s no question. Everyone knows we’ve known it for a couple of years, the 2024 was going to be a little bit soft. And no one expected 2023 to be as big as it was with all the demand, the pent-up demand. But the key thing in the truck sales side is, this is nothing that we didn’t expect, but we’re not expecting ACT as it down about 22%. And I’m going to agree with that. I don’t expect it to be down 22% in Q1, but I do expect it to be softer. And we expect to do better, by the way, given the diversity our customer base, right? I can tell you that the over-the-road business is going to be down more like 30%-plus for the whole year, I believe. But the key thing is we’ve got 2025 and 2026 coming, with EPA regulations of January 1 of 2027. There will be, I’m guessing as we get to the back half of this year, folks are going to wake up and realize that they are probably going to pre-buy at the 2025 and 2026 given, not just a new technology, but I mean, I won’t get into pricing, what the engines are going to cost and go up by January 1 of 2027 with all the new aftermarket – after treatment systems are going, we’re going into play to meet the new EPA regulations. So as that we believe the freight market will come back. The over-the-road business is still the biggest piece of volume out there. It’s not in Rush, it’s 50-50, right, between vocation on that. But in the real market, it’s still demanded piece. So, those folks as they can get their feet underneath them here. It’s been a long year-and-a-half or two, like I said, they get their feet under. I would expect some pre-buy to start possibly in the back quarter, from the back half of this year, is folks realize what the cost and stuff will be around that equipment. From an aftermarket perspective, yeah, I said the first half would be flat and what I went through a minute ago. I have hopes that we’re up slightly, but I don’t want to put that out there. I think some of the initiatives we have are still – we keep rolling them out and we still haven’t to come to fruition on a lot of the ones that we have rolled out over the last couple of years. So, I got to believe that we’re still extremely focused on – remember, we’re also battling less inflation, okay, regardless of the report yesterday. Overall, obviously, the replacing is not what it was 2 years ago or even the first half of last year. So, it’ll be real growth, it’ll be taking share. That’s what we focus on every day. We get up at the parts and service business has to take share. So, I’ve got to believe that we’re going to be like I said flat. I have hopes to do way better or a little better. I’d love to say I can be – low- to-mid-singles up for the year. But, it’s not as easy to look at as it was the last couple of years, right? It’s a day to day, hand to hand combat type work. But I have all the confidence in the world as I always do. And I think the results bear that out for the organization. And our strategic initiatives that we’ve laid out there and what we’re focused on as a group, so that we can execute on those, right? I like to believe we’ve executed in the past and will continue to execute as we go forward, regardless of what the truck sales market is. I can’t make a truck market, but I expect to do better. I don’t want to – I’m not going to guarantee, but I expect to do better than 22%. I can promise you that. But that’s going to be – we’re working that every day. You don’t have the leaps time. You don’t have allocation like you had. That’s not out there anymore. So it’s not like I’ve got a yearlong backlog of trucks. So, I’ll still sell you – most of them, I can still sell you trucks and you won’t sell in Q2, I’ll get you some. So, that’s just where we’re at. We’re back to normal times. Okay. Let’s just say that when it comes to truck sales, I do think we’ll be back on allocation this time almost next year. I do believe that will come to pass, whether it’s February, whether it’s April, next year, I can’t tell you, but there’s no doubt in my mind. that we’ll be going back to an allocation market in 2025.
Justin Long: Got it. And last one for me, Rusty, you’ve talked about earnings expectations and free cash flow expectations and the trough in 2024. Any change to your outlook there?
Rusty Rush: None whatsoever. I don’t take back anything I’ve said in the last couple of years. Okay. And as usual, we’re focused on, I’d like to over deliver, how about that?
Justin Long: I like it. I’ll leave it there. Thanks, Rusty. Thanks, Steve.
Operator: Please stand by for our next question. Our next question comes from the line of Andrew Obin with Bank of America. Your line is open.
Andrew Obin: Hey, Rusty. How are you? Good morning.
Rusty Rush: Well, good morning, Mr. Obin.
Andrew Obin: Are you calling the bottom of the cycle, because that’s what you’re – and I was – and have you called – I don’t think you’ve called the bottom of the cycle before, it seems that you’re basically saying cycle will bottom sometime around the summer?
Rusty Rush: Yeah, I think so. I think you’re going to have a little carryover. When it comes – we’re talking about truck sales, I’m not talking about aftermarket business. Aftermarket business is totally different. But when it comes to Class 8 truck sales, I think that the summer is going to be a little more difficult than what we’ve experienced. There is some carryover to Q1 from finishing up the year. Remember, we’re at the end of the train. We don’t manufacture them. We deliver them. A lot of times trucks take bodies and things like that and it could be up to 60 to 90 days for those trucks to get delivered to our customer base, especially on the vocational side. So, yes, I would tell you that the little trough for us in Class 8 deliveries will probably be sometime this summer. But again, like I said, I do expect the freight market cannot continue. I don’t believe to be as rough as it’s been in the last couple of years. So, I would expect that to pick up. And along with what the EPA emission laws of January 1 of 2027, I do firmly believe will be a pre-buy. With that question, most people expect 2026 to be the biggest year in history, given decent economic conditions overall in the country, right? So, yeah, I mean, I would tell you that truck sales will be softer in a second on the summer in the Q2 and Q3, than what we have seen. But again, we believe, I’d say 22%, I think the majority of it will be in the summer, yes. But, I expect to start bouncing back by the end of the year.
Andrew Obin: Excellent. Can you just remind us when is used pricing bottoming?
Rusty Rush: Well, I wish, Andrew, if I could tell you that, you might even give me a raise, okay? Which I would gladly take. But anyway…
Andrew Obin: I think they’re fine as it is.
Rusty Rush: I would agree with that. I’m probably overplayed. Did I say that? Okay.
Andrew Obin: Yeah, don’t say that.
Rusty Rush: No, Andrew, I’ll tell you, I will say this, use the decline in used truck pricing has continued. Well, it is not as dramatic, it is what it was a year-and-a-half ago, it is still declining more than normal. I think our average used truck price was like $53,000. And when you look at average and if you go back to 2019, or was it go back in the high-40s or something like that 47%, 48%. So you got to believe with the inflationary of what trucks cost now that spread has gotten, it is not only so far it could go but the problem is that pricing is one thing, demand is the other, right? And when you’ve got spot markets which are the main driver of used truck values in such rough shape and down so much, it’s still, I think it’ll happen quick when it happens you watch. I can’t tell you even though, because that means I guess they don’t get my raise, but exactly when, but I would tell you I got to believe sometime before the years out, but I don’t look forward to the next. It’ll continue to decline at a faster rate, but not as fast as it was declining. There’s still trucks being put on the market, I’ve heard of a couple of batches this week in big numbers, people are trying to unload, which puts pressure on it, puts pressure on the market. But the most important thing is to create demand, which means you got to get the spot market back. You’ve got to have some of these others, this over-the-road business spot market back to really stabilize it and to make these truck values go up. Again, it’s still decelerating faster than what I would say normal percentages are, right?
Andrew Obin: Just a question, in terms of macro, and I always, I love asking this question just because you have great systems, can you just take us around the country and just by region, how is the economy holding up relative to your expectations maybe 6 weeks ago? And I know that it’s only 6 weeks, but you do have some of the best systems of anybody I cover. Just maybe you can take us around the country and tell us what’s Rusty Rush’s 30,000-foot view of the U.S. economy?
Rusty Rush: Well, obviously the biggest concentration we have would be in Texas, right? And Texas is doing just fine. Okay, our Texas stores are still – the state’s still growing. Ohio is growing state in the nation and from both population and a business, perspective for businesses still coming in here. Florida is doing great. We’re getting through, I would tell you, a little softer maybe lately in Ohio, I think. But, I think, Illinois is decent and doing well. We’ve got West California is still in good shape. I worry about California with the new 2024 CARB laws that came in it. By the time we get to the back half of the year, that they may be suffering on the truck sales side, right now, they’re doing fairly well. But we make sure to have some inventory and things like that to carry over into the markets out there. So Oklahoma is still good, going strong. Arizona is decent. So pretty decent across the board. Like I said, a little softness in the state or so. And in Ohio, for whatever reason, I’ve noticed that a little softer up there recently, but I don’t expect that to hold up. I expect that to come back. So I hope it gives you some, I mean – go ahead – not just to see geographic markets, but other markets, breaking it out in the good market, construction is better. That’s what we hope will help keep the order book [ph] better with the growth and on the hits that we’re seeing over-the-road business both for the large customer and for the small person which you know it pretty much out right now out of our mix. But refuse is really going strong. Construction is doing extremely well. Municipal business is holding in strong, almost moderate growth rates, as I said earlier, and we expect that to continue. Like I said, the hardest thing we’ve got going is the small customer, right? That’s why when the small customer does come back in the overall business, we’re going to be in really good shape, because we’re having overcome that one-third of our business being off double-digits So, that will bring back and I expect vocational to continue to be strong given the government monies that are out there, that are being spent right now. So, look 2024 is not going to be what 2023 was. But at the same time, it’s going to be – I’ll stick to my guns as I was asked earlier by Justin about what I’ve said in the past is to we’ll still execute – the truck market, I can’t make the truck market, right? [But I’m sure] [ph] to take share and grow in the aftermarket and that’s the goal of the organization that’s the most profit business we do.
Andrew Obin: So if I were to summarize it, truck market is bottoming, economy is solid, Rush Enterprises is executing. Is that a fair summary?
Rusty Rush: That’s what we like to think. I guess the proof of it’s been the numbers. But, I think, we’ve had even going back to COVID year, right, in 2020 and what we did in 2021, what we did in 2022, what we did in 2023, we’re going to execute really well. I believe inside of what the 2024 market with a 20%-plus Class 8 decline, maybe not much. So maybe we’re better than that. I don’t want to guarantee anything, but I’d like to see us only behalf of that. But I can’t guarantee that, because I’ve still can build you something, it’s still a moving target, right? We’re back to normal as times. We get out of this allocation world we lived in. And so, everybody’s got to sharpen up their tools and go to work, and get out there and take some shares. These are a little more competitive environment. But, we’ve always been able to do that.
Andrew Obin: My view, guys, it’s a high quality organization. Thanks a lot.
Rusty Rush: Thank you, Andrew. I appreciate it.
Operator: Thank you. Ladies and gentlemen, I’m showing no further questions in the queue. I would now like to turn the call back over to Rusty, for closing remarks.
Rusty Rush: Yes, I want to thank everybody for joining us this morning and we will see you in mid-April. And during [ph] your loved ones, have a happy Valentine’s Day. Thank you very much.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.